Operator: Good morning, and welcome to General Mills' Third Quarter Fiscal 2025 Earnings Conference Call. All participants are in a listen-only mode. After the speakers' remarks, we will conduct a question-and-answer session [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the call over to Jeff Siemon, Vice President of Investor Relations and Corporate Finance. Please go ahead.
Jeff Siemon : Thank you, Julianne, and good morning. Thanks to everyone for joining us today for our Q&A session on our third quarter fiscal '25 results. I hope you all had time to review our press release, listen to our prepared remarks and view our presentation materials, which were made available this morning on our Investor Relations website. Please note that in our Q&A session, we may make forward-looking statements that are based on management's current views and assumptions. Please refer to this morning's press release for factors that could impact forward-looking statements and for reconciliations of non-GAAP information, which may be discussed on today's call. I'm here with Jeff Harmening, our Chairman and CEO and Kofi Bruce, our CFO. So let's go ahead and get to the first question. Julianne, can you please get us started?
Operator: [Operator Instructions] Our first question comes from Andrew Lazar from Barclays.
Andrew Lazar: Great. Thanks so much. Good morning, everybody. Jeff, you mentioned in the prepared remarks the sharp focus right on accelerating organic growth as you move into fiscal '26. And you highlight the at least 5% HMM savings, the additional $100 million in cost saves on top of this. And I think you've said previously you plan to reinvest the 53rd week as well. So I guess my question is, with the sizable step up in investment planned for fiscal 4Q, how do we think about the incremental investment that you think is needed for fiscal '26 beyond what you're already doing in the fourth quarter this year? And in thinking about those investments, I guess, what does the balance of spend look like or the mix between work that still needs to be done on price points specifically versus, let's say, innovation, in-store activity and media expense?
Jeff Harmening: Yes. Thank you, Andrew. Really, really fair question. Let me give you a couple of pieces of context and then answer your question more because I think the context is important. The first is that coming into this year, we thought the consumer environment would improve as the year got on and that hasn't really been the case. And consumers are still seeking value as much or more than they had when our fiscal year began. And if you look at the most recent confidence indices, it would indicate the consumer confidence is actually below where it was three months ago and about where it was in 2008. And so the situation we find ourselves in is different than we thought the one coming into the year. And so consumers are seeking value. You see that in the categories they're pursuing in many, many ways. The other thing I would tell you as we think about our investment going forward, we've kind of looked at what's worked for us over the last year. And when you look at Blue Buffalo, we were having a similar conversation a year ago and we sharpened our price points. We got really focused on the things that mattered. We improved our marketing, our new products and we've gotten a place where we're competing effectively on Blue Buffalo. The same would be the case on Pillsbury. So we talked about last quarter what we need to do. And yes, we sharpened our focus there on value, but also we have good new products there and our marketing is really good. And the focus on value actually allowed our marketing to work better. The same would be true of Totino's. Again, we've got the value in line and our marketing is really good on Totino's. And so as we look at those things or how we're competing with Haagen-Dazs globally, we know that getting the value in the right zone and that adding on top of that really good innovation and more improved marketing is the way to go. So that's the context. As you look at our fiscal fourth quarter, obviously, we're stepping up investment. We're investing some more in pricing, particularly in the fruit snacks area where consumers are really looking for value. That's very clear. But also we're stepping up our marketing double digits. And we're doing that on some of our biggest brands. We think our marketing is really good. You'll see that on Blue Buffalo, you'll see that on Pillsbury, you'll see that in Cereal. And so as we - so that as we look at next year, it'll be a year of reinvestment for us and it'll be a combination of getting our value right. The place where you'll see that the most is in snacking, particularly fruit snacks and no need to wait until fiscal '26. So we started in the fourth quarter. The same with - so that's where the - as we look at pricing for next year. The other is that on pricing is we're lapping a lot of pricing we've done in the back half of this year into the first half of next year. But in terms of kind of incremental activity, we need to take on value that fruits snacks is the incremental value. Beyond that though, we're going to improve our marketing on our core as we've done in some of the categories I've told you more broadly. We're going to increase our marketing spend and we have some really good new products coming in the first half of next year. In fact, part of the investment we're making in the fourth quarter is the R&D resources to the admin necessary to get those products to market as well as the supply chain. And so what we're looking at next year is to reinvest our HMM savings, to reinvest in the 53rd week as well as these efficiencies to get back to growth. That is the job to do. The rest of our P&L looks great and it will look even better once we get back to growth. And my expectation is that our competitiveness will improve starting in the fourth quarter with the actions we've taken and we'll look to carry that over into the first quarter, second quarter, third and fourth of next year.
Operator: Our next question comes from Ken Goldman from JPMorgan.
Ken Goldman: Hi, thank you. Just to build on Andrew's question, I was hoping we could run through a quick very broad exercise of kind of the tailwinds and headwinds into next year, just on a general basis, not looking at any numbers. And I'm wondering if I'm missing anything here. So as I think about the tailwinds, you've talked about a little more trade, better marketing in general that should help volume. Innovation, your tone is great there. Maybe you have some easier laps from some of the trade destocks. Obviously, you have a little more HMM maybe and you have those new cost efficiencies you talked about. And then as I think about the headwind side, excuse me, obviously a little more trade than what you initially expected, although you talked about some easier laps there, some investments in brand communication, maybe a bit more slotting than you have tariffs, stock-based comp, Yoplait dilution. I'm running through these very quickly obviously and I'm putting you on the spot, but is there anything obvious that I'm missing there? Because honestly you talked about how your job is to get back to growth. It seems that those headwinds are a little stronger than the tailwinds and that's kind of what we're hearing from the buy-side today. So I really wanted to push a little bit on that if I could.
Kofi Bruce: Okay. And I think broadly you've actually got almost elements, we want you to be tracking. I think Yoplait, obviously, we don't know exactly when that's going to close. That will be a significant probably about 5-point headwind that we want to make sure you have visibility to. We flagged that at CAGNY. It's starting 5-point headwind on profit. I think you've got kind of the texture of the rest of this. There'll be some annualization impact from the investments we've made this year that are important to factor in. And we are building flexibility just in terms of our posture for next year for additional investment. I think, we're very committed to getting the job done on improving growth trends both in the categories and our own competitiveness. So, to the extent that we go into next year, we want to make sure we have flexibility to do that. So I think we'll obviously give you a little bit more perspective on where the commercial investments are going, as we step into our Q4 and give guidance. I think you have the fence post about right though.
Operator: Our next question comes from David Palmer from Evercore ISI.
David Palmer : Thanks and thanks for those comments on innovation. I wanted to follow-up on that. I've seen some data that in general in the food space there's been less innovation that the innovation in the category in general packaged food has not really recovered to pre COVID levels. It's been slow to essentially ramp back up. You're certainly ramping up innovation heading into fiscal 2026. I wonder if you could sort of characterize for us the level of innovation activity into 2026 and how it will compare to 2025 and maybe you sound optimistic about it like what are the ways you're changing the types of innovation, the messages that you think will work perhaps better per activity and marketing dollar next year?
Jeff Harmening: Yes, David, good questions. I will give you as much context as I can without giving away exactly what we're going to be doing. First, you're right in that new product innovation kind of as a percentage of sales is still lagging where it was pre-pandemic. That's also true for us, although we're up significantly in our new product innovation as a percentage of sales this year than we were last year. So we are up, but still below where we were pre-pandemic. I hope that's clear. It's clear in my mind when I say it. I hope it's clear to those listening on the line. As we look at next year, I think there are two things that we need to do. The first is that the types of innovation we have, we probably need to support more robustly. And so we've had some good new product innovation like Cheerios Protein. We just talked about Pitmaster and what we've done with Old El Paso and soup. And we've got stick bars coming in Asia and in Europe that are really good. Nature Valley Granola protein is off to an amazing start. So we need to - we've got some good new product innovation. I think we can probably do a better job even just supporting those a little bit more, which we intend to do. And then I think the theme for next year is probably going to be fewer, but bigger. And we have a few big innovations that we'll talk about in June that I would love to talk about now, but we're not going to, that are going to come in the first half of next year, in addition to kind of some of the things we already talked about. And so fewer and bigger, I guess, would be and then making sure we support well the good ideas that we have and we have some good ideas.
Operator: Our next question comes from Michael Lavery from Piper Sandler.
Michael Lavery: Thank you. Good morning. Just looking at you called out value and price gaps quite a bit and obviously that's a focus. Looking at Dough and Totino's where you kind of had the test cases already, it's maybe a little harder on Totino's to see how much it's coming through because it looks like it picked up kind of later in the quarter or into 4Q. But Dough had sales growth up, I think, around 4% with volumes up around 8%. I guess maybe in those categories, how do you -- how did you or do you understand or figure out what the right price adjustments are? And then really how does that translate more broadly? I guess the kind of endpoint of the question is, how do you know that as you've got your - it sounds like your '26 plans are broadly set, How do you know the price investments you're anticipating are enough? And how do you think about just you said maybe you can be nimble there. Is that part of how you plan for it as well?
Jeff Harmening: Yes. So you mentioned – talked about the call, which were refrigerated Dough and Totino's. You also have Blue Buffalo into that mix of things that we have executed well and open some price points and but also improved our marketing. And that's the other piece of it is getting the marketing right, whether it's new product innovation and marketing behind that or marketing behind the core, which is also important. And so as we look at that, the new piece, we're looking at the same price, but we've got great brands. And so when we talk about that value piece, really it's kind of getting in the zone of and price differentials and that sort of thing. So it doesn't mean we have to price equally to everybody else. We just have to get into a zone in which our pricing is going to work. And then we have to consider all the elements of our marketing mix, and we use the remarkable experience framework to do that. And we kind of go category by category to say, what are the thing where are we good? Where are we missing elements? And then we go by that and we use that throughout the entire company. And so I'm confident as we head into the fourth quarter and then the fiscal '26, we have a much better handle category by category what jobs need to be done. And in some cases that's value, in some cases that's marketing on the core, in some cases that's innovation and fruits snacks is probably all three of those things. And so that's the way we look at it and we have confidence, because we've done it several times now, some big businesses, Blue Buffalo, Totino's and Pillsbury, they're all $1 billion-plus brands and we've done it effectively there. We just need to make sure -- we the job to do now is expand that to the rest of our portfolio, which we have been working on, which will start to manifest itself in Q4. In fact, I would expect our Cereal business to come back in Q4 and I would expect our soup business as well to show improvement in Q4 as we get the marketing in a good place and as we the value is also in a good place.
Michael Lavery: That's great color. Would it be fair to assume that that evaluation exercise that you talked about, have you completed that across the company or is there still some brands or categories that maybe under review, so to speak?
Jeff Harmening: We have completed that across the company and which has led to some of the improvements that you've seen so far. Some things take longer than others, and that's the work won't begin has already begun, and you'll see that in the fourth quarter and we'll bleed into next year. So you'll see that in next year as well. But also, I would also say it's an always on kind of capability because context changes and the environment around those changes. And so one of the things -- yes, I feel good that we kind of understand brand by brand and what we need to do. But I also know that the context changes, and we have to be agile enough to change with the world around us. And so I also know that.
Operator: Next question comes from Alexia Howard from Bernstein.
Alexia Howard: Can I start with -- come back to snacks. As I think about previous economic slowdowns like the financial crisis and so on, that seem to do okay as a sort of feel good treat at a low ticket price. And they didn't seem to be behaving in previous cycles with this value seeking discretionary problem that we seem to have today. So what's different this time around? And could this accelerated uptake of GLP-1 drugs, for example, or increasing consumer concerns about the healthiness of indulgent snacks, be another part of the issue here. I'm just wondering what data you're looking at to really get at the root of what's driving the category weakness?
Jeff Harmening: Let me give you a couple of thoughts. And as we look across kind of salty snacks, grain snacks and fruit snacks kind of quarter-on-quarter, there's about a negative gap on the category between what was happening before and what is happening now. And our view is that a lot of that has to do with consumer confidence. I mean, yes, GLP-1 use is increasing. It's about 10% of the adult population now about 5% or so used for weight loss, which is up significantly from the year before, but it didn't change that much quarter-to-quarter. And we've also seen the same kind of activity in dog treats. And to my knowledge, there is not GLP-1s for dog treats. And so I don't think that -- even though we take the GLP-1 kind of trend seriously, and as you see, we have a lot of protein coming in our new products and macro nutrients and fiber are going to be important and portion size and lower sugar and all that, that's really not what we see in this environment. As to why we see the slowdown, you're right, in past recession like in 2008, we didn't see this. Our view would be is that food at home is now elevated vis-a-vis what it was in 2008. And so it's elevated vis-a-vis what it was in pre-pandemic. And so pre-pandemic food-at-home consumption was about 83% of occasions, is now 87% and has been 87% for a long time. And so what has changed is that in price increase like we're experiencing now with consumer confidence, we had a lower percentage of people eating at home, and that increased as they got more anxious. That level is already increased. And so that really hasn't changed much. And so our belief is that consumers have become much more value conscious not only determines what happens in category, but also have what happens in the rest of the stores. So if you look at the rest of the grocery store, you would see that things that are staples are the ones that are growing faster than things that are more discretionary. And so staples like baking staples, for example. And some of the items on the perimeter. Those are growing faster because they produce more value. And the same would be true of why restaurant occasions are down slightly. We think it's much more about value now, and that's the biggest is the aging indication versus of what we saw in the past recession.
Operator: Our next question comes from Peter Galbo from Bank of America.
Peter Galbo: Jeff, just a couple of questions. If we can dig in a little bit more on the snacks business. The first would just be around fruit snacks. I'm assuming when you're talking about kind of the value piece of it, you're talking more math relative to Gushers. I think you had like actually expanded Gutters capacity about a year ago. So I just wanted to clarify on that. And then the second piece is just if you can expand a bit more on the remediation plans, I guess, in snack bars, you have a competitor who was off shelf and is now back on shelf. And maybe salty as well, just maybe in the same level detail that you provided around fruit snacks would be super helpful.
Jeff Harmening: Yes. So let me start with fruit snacks a little bit. You're right. I mean Gushers capacity came back up in Q2, and we feel good about the trajectory of that business. When we look at the category, the fruit snacks category is down. And part of that is part of that discretionary which we talked about, but we haven't distinguished ourselves on the share front either. And there are a couple of big players -- a couple of our big retailers introduced private label during that period. And so there's no question that the job to do on fruit snacks is one of making sure our values in the range, but also then getting back to innovation. We talked a little bit about Harry Potter fruit snacks and what we're doing there as well as marketing on the core. And so I would like what we have to do with fruit snacks a little bit to what we have a deal with a couple of items on Blue Buffalo where on Blue Buffalo a year ago, we -- our pricing was good on life protection formulas. It probably is on Gusher, but all we have to market it better and we started doing that, and that was the job to do. That's probably Gushers. When you come to some other items, it's probably like wet pet food and treats where we had to improve the marketing, which we did, and we had to improve the price points, which we did, and it took a little bit longer, but we eventually got back to where we needed to go. And so that's kind of I think that's the corollary to fruit snacks, if you would. On bars, bars was a tough quarter because better competitor was off shelf a year ago. But I feel good about our bars business, I mean the innovation we have coming on bars. We didn't mention cereals, protein, bars, I don't think on this call, but it's coming up. And so we feel good about that. Nature Valley, the marketing is good on a Nature Valley our bars business I would look to rebound you probably more quickly even than fruit snacks, but fundamentally, we're in a decent place on that.
Peter Galbo: And just salty, if anything there?
Jeff Harmening: Yes. On salty snacks, there really probably is a value play, although salty is a relatively small part of our portfolio relative to fruit snacks and Nature Valley. But I think that one, value is certainly true. But I would also say, it's very clear that consumers are looking for bold flavors and so our ability to introduce some new products with some bolder flavors results going to be part of our success in the salty snacks.
Operator: Our next question comes from John Baumgartner from Mizuho Securities.
John Baumgartner: To the consumer and this interaction between value-seeking and Mills as mentioned a functional ingredients and functional innovation set against the broader focus on RFK and ingredients more broadly. How do you assess, Jeff, the willingness and ability for consumers to pay up for healthier ingredients and better quality? I think in the past, the ability to extract premium pricing for premium ingredients, that compact being just sort of take to remain competitive. Do you see it changing on that front in terms of pricing power and premium mix at this point?
Jeff Harmening: Consumers are still going -- value comes in a lot of different ways. Part of that is pricing. But obviously, the benefit part is also important. We see that playing out in proteins. We highlighted a lot of protein innovation we have coming now, whether that's Cheerios Protein or Progresso Protein which is doing very well. And so you'll see that. And the key for us is really we're seeing a lot of value players, but we're seeing some things at the high end as well. So it was kind of bifurcating. And for us, value doesn't -- as I mentioned earlier, I'm going to repeat myself, but value doesn't mean getting a race to the bottom on pricing or getting to the same place to private-label just making sure we have the gaps correct. And after a period of kind of record inflation for 3 years, those things can take a toll. And so it really is about getting the value right. And beyond that, it really is about talking about the benefits of our products. In some cases, that's functional benefits like protein and other places like Pillsbury biscuits. It's about how flaky they are. When it comes to Betty Crocker, maybe how chocolate they are. So it really depends brand by brand, the benefits are looking for it. Yes, some functional health, but it's food. People really like stuff that tastes good. And to the extent, like in Cheerios Protein, we can make it taste good and it has a functional benefit, that's an even bigger win.
Operator: Our next question comes from Chris Carey from Wells Fargo.
Chris Carey: So 1 slight clarification and then a bigger picture question. Just on the clarification, with the savings targets for next year, is there a message today that the savings targets between HMM and the incremental $100 million are there to be fully reinvested back into the business? Or is the message today simply we're putting forth strong savings such to give us the ability to invest as we see it, but the plans are still developing or something of the sort. So that's just a kind of clarification. And then, the bigger picture question is, if I look at your category growth rates, the categories in which you compete, they are actually growing, which is really positive, right, because that means that you can close category gaps, you're back to growth. When you assess why your portfolio is not growing in line with category, what are the major diagnosis? Is it value, the innovation, agenda, the marketing, messaging because I think we all value is the key here, invest in price and trade and that will drive the improvement but when you set the portfolio about why there's that relative under performance, what are the buckets that are standing out the most to you?
Jeff Harmening: Yes, let me take the second part of your question first, and then I'll pass it over to Kofi to take the first part of your question second. The -- on the category growth we make really important point, which is that our categories are growing, and they're growing about 1%. And that's below the kind of 2% to 3%, we think will happen as we look into the future. And the biggest delta really the delta is price mix and so as we look at volumes, they're roughly in line with what we'd expect and what we could expect for a 2% to 3% top line growth, except that there's not a lot of -- there's not much price mix in this environment, which given what we said about the consumer, I think kind of lines up. So our categories are growing. Because of that the most important job we have to do is to get back to being competitive, which is what we will look to largely do in the fourth quarter. We have lots of areas or competitive now. If I look at Foodservice, if I look at Haagen-Dazs internationally, if I look at Blue Buffalo or what we've done with Pillsbury, or Totino's, there are places where our market shares are increasingly good. And the job for us to do is to get back to that more broadly. Probably starting with volume share first ultimately, the ultimate arbiter is dollar share, but volume share first as we're getting our value realigned. So that's the job to do. And then to get back to algorithm, then it takes a little bit of price mix on top of that, which we're not expecting in the near term, which we're pretty confident eventually. And then so that is the -- that's the most important thing that we need to do. I'll probably turn it over to Kofi to talk a little bit more about the reinvestment profile and what we're expecting there.
Kofi Bruce: Just kind of picking up on Jeff left off. I think to the extent that we see the path ahead next year, really focused on driving improved growth and competitiveness. The purpose of the $100 million plus additional cost savings, the net HMM above inflation, is to free up resources to reinvest for growth, right? So the efficiency is there to drive growth. We're not trying to drive specific improvements in margin. Obviously, to the extent we have additional flexibility above that $100 million, you can expect our dial to be tilted probably towards reinvestment back into the business. We'll talk more about specifically where and the nature of that investment a little bit more detail, obviously, as we go into Q4 and give guidance for the next year.
Jeff Harmening: Kofi, let me come back to the second part of Chris' question, which I think I forgot the first time around. But the -- being competitive is not only about price. I mean, we need to get the pricing back in the zone, but it's value holistically. And as a CPG company, the recipe for success is relatively simple, even if it's difficult to execute, which is you need good marketing on your core, you need good new product innovation and you need the value to kind of be in the zone whether your marketing can work. And we know this has been true for decades. And we've proven it again on the categories that I've talked about earlier, and we're going to start to prove it on some other areas as well. And I think you'll see that in Cereal in the fourth quarter, where we've got good value, but we also have a double-digit increase in media. You'll see it on soup, where we have good new products that we're going to market. And so yes, we need to get the pricing roughly in line, but it is not only about that, and it can't only be about that. We've got the best brands in our categories. And so it really is about marketing them effectively, which is marketing the core as well as new product innovation, and we'll look to dial-up both as we look at the year ahead, starting in Q4.
Operator: Our next question comes from Leah Jordan from Goldman Sachs.
Leah Jordan: I just wanted to go back to cereal. I know that's been a big area of concern for investors recently. And with the mid-single-digit decline in U.S. retail in the quarter. Just curious if you could provide more detail on that, how it compared to your internal expectations? And then going back to what gives you the confidence to driving the improvement in the fourth quarter? And really just how are you thinking about the durability of the category longer term?
Jeff Harmening: Yes. As we look at the third quarter, we'll see how deep you go on this. As we look at the third quarter in Cereal, I mean, it was pretty close to what our expectations were in terms of what our reported net sales were we knew we had a little bit of inventory built-up from the second quarter. We talked about timing and that related to a few categories in our second quarter earnings call. Cereal is certainly 1 of those. And besides that, we did have a competitor who was off shelf in the third quarter of the year, and we had a little bit less media and merchandising. So cereal look, our cereal performance wasn't great in the third quarter, but it was about what we expected. The reason why I'm confident that it will get better in the fourth quarter is that we have an increase in media. We don't have the overhang from the inventory. And our merchandising is good. We've got a really good promotion in the fourth quarter. And so we have all the things lined up. Kind of like we did in the second quarter. We had a pretty good second quarter last year. We think we'll have a good fourth quarter on cereal. And the key to longer term as honestly, is giving consumers more of what they want. And so as we look at Cheerios Protein, clearly, that we launched Go Cereal which has done well. Our Nature Valley Granola Protein has also done well. And so it really is giving consumers what they want. All those things happen to be protein, but lucky term, you're still magically delicious and people want that as well. And Cinnamon Toast Crunch is still a best tasting cereal in the category, and people want that as well. And so the key to our growth as it always has been, is giving consumers what they wanted some cases that’s functional benefits like protein other time just great taste and [indiscernible] together. That's when we used the most.
Operator: Next question will come from Max Gumport from BNP Paribas.
Max Gumport: With regard to the unexpected portion of the retailer inventory headwinds in North America Retail and Pet. Can you provide a bit more color on what drove it? Is this an industry-wide phenomenon? Or is it specific to some of the categories you compete in or your product specifically? And then what's informing the view that there won't be any material changes in retailer inventory levels in the fourth quarter?
Jeff Harmening: Well, first of all, in Pet, it was across some of our biggest retailers. And Pet inventory through the 6 years or so that we've owned this business, has always been more volatile than the rest of our business, actually, I think because of the e-commerce nature of the business. And so there's a 5-point drag on Pet this quarter from retail inventory. A lot of that was dry pet food, which is why you saw the results in dry pet food, especially in dry dog food the way that you did. Our inventory levels weren't high before. They're even lower now. For the year, our inventory is about -- retailer is about flat to where it was at the beginning of the year. And so that's what gives us the confidence that we won't have another drawdown in inventory in the rest of the year. As whether that's an inventory trend-- an industry trend or just us, I'll let everybody else talk about what their trends are. I just know what ours are.
Jeff Siemon : Julianne thank you -- we’re going -- given that we can hit the pass the time allotted here. I think we’ll go ahead and wrap up. Thanks everyone for the attention and time this morning. We're available all day for follow-ups as usual. And so I look forward to connecting here in the next few days, and we'll be back to discuss Q4 when we get to June. Thanks so much.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.